Peter Nilsson : Thank you, and welcome to all of you to this interim call for Trelleborg covering quarter two, 2024. We will refer to the slides who is on our homepage as usual and use them as a guidance throughout the call. And as usual, I'm going to kick off, Peter and give you some overall highlights and then supported by Fredrik Nilsson, our CFO, who's going to guide you through the financials and then I'm going to sum up with some comments on the running quarter. And then, of course, at the end also, as usual, opening up for a Q&A session. So once again, back to the slides presented on homepage and turning there to Page 2, agenda slide. Starting off with some highlights, some comments on our business areas. Then Fredrik will guide us through some comments on the financial and then finishing off with a summary and some comments on the running quarter and then opening up for Q&A. Turning to Page 3, heading for our report, organic growth and improved margin. We are back to a positive territory, although slim, but nevertheless, a positive territory in terms of organic growth in this quarter. And we also continue to deliver and improve margin year-on-year. So that is, let's say, the heading for the report. And more in detail, I mean, sales SEK8.7 billion, basically in line with last year. We also have some, let's say, discontinued operations went away from this, which is then explaining this difference between the organic positive and the flat sales. M&A, which was said and what we tell guiding us is a discontinued operation, we sold off some ship operations a year ago, and that is then impacting the overall sales results. Currency not impacting sales in this quarter, a change from before. EBITDA just shy of SEK1.6 billion, corresponding to a margin of 18.4%. This SEK1.6 billion is actually the highest EBITDA to date. We have had -- we have delivered a slightly higher margin in individual quarters before. But nevertheless, in terms of operational performance, definitely one of the best quarters ever for Trelleborg in this structure. Items affecting comparability in line with our guidance, and Fredrik can go back on that a little bit north of SEK100 million in the quarter. Cash flow, SEK1.2 billion, slightly lower compared to a very good quarter a year ago. Fredrik will comment on it as well. This is a normal, let's say, development for us and the cash conversion on rolling 12 is still on a solid 18%. We also noted satisfaction that we have completed two acquisitions in the quarter, M&A group in Korea, which is then strengthening us in terms of sales for semiconductor manufacturing. And then also BP Tech Group, a Finnish company, which is also supplementing our presence in terms of rehabilitation of pipes. We also -- as of yesterday, we are now the full owner of Baron Group. This was acquisition, an important one for us to get back and comment on that, important for us to strengthen our position within our medical activity medical business area. Finalized yesterday, and we are now eagerly integrating this into our operations. Once again, I will comment a little bit more on that later. Turning to Page 4. Organic sales per geography. As you see, Asia growing by 4%, North and South America, also by 3% and Europe down by minus 1%. I mean this is a little bit distorted Asia, solid. North and South America benefiting from high project sales and Euro impacted a little bit lower project sales. So the underlying performance is more flattish if you compare to between Europe and North America. But nevertheless, this is the actual reported figures in the quarter. Turning then to Page 5, agenda slide again, and commenting on the business areas. Quickly turning to Page 6 and then commenting on industrial solutions, organic sales, slightly negative, supported positive with a percentage point from M&A. Not much change compared to before residential construction in the industrial segments continue to be on the weaker side and industrial solutions. Sales in industrial solutions and supported by strong, what we call project sales, especially linked LNG and also some renewables where we then successfully being able to sell, especially if some special solutions for offshore wind mills which was good deliveries for us in the quarter. Automotive sales continue to grow and we note that Asia is especially strong. All in all, I mean, well managed business. And I mean, on the basis of this slightly negative sales development, we still managed to deliver, let's say, a slim uptick in EBITDA, which is then creating an uptick 0.4%. But nevertheless, 0.4 percentage points up on margin, continued solid development in Industrial Solutions. And we also note now, as already with satisfaction that we also enable to deliver a good bolt-on acquisition for us once again on the pipe rehabilitation business. Turning to Page 7, on medical solutions back to organic growth. I mean, you say we were a little bit positively surprised here at the end of the quarter, especially in the North American market picked up, and we were able to actually sell more than we kind of anticipated in the beginning of the quarter. We also note overall, that this inventory adjustment that has been hurting us a little bit for quite a few quarters now. We see finally that, that is easing off. We have to be careful with the term conclusions on this, but this is what we see in the figures at the moment. We also know, although the sales up, we still are down a little bit in EBITDA. This is still, let's say, creation mode of the new BA. We have been adding some costs into that structure, and we also continue to invest in specific segments where we see long-term both growth and good profit possibilities. And then of course, a big thing actually in this quarter happened after the quarter when we kind of finalized the Baron acquisition. So turning to Page 8 some comments on that. Baron is a major stepping stone for us here to create a fully global business. I mean, we now can say that we are probably the most global. We are the most global company in terms of this segment, which we are focusing basically on liquid silicon for medical applications. And with this acquisition of Baron, we will get the access to, let's say, very good manufacturing facilities in Asia and Australia. And this is something now we're looking forward to continue to develop and creating a structure within this medical area where we will benefit for long term in this ride towards, let's say, EUR500 million of sales and a margin in line with what we guided 20%. So we believe we are in a good track on that development and we are getting these different, let's say, pieces in place now in order to push further in that direction. So then turning to Page 9, let us comment on sealing solutions and back to organic growth, the same heading as for the medical, solid organic growth in the quarter also benefiting from M&A. Also, let's say, supporting us with a couple of percentage points in the quarter. You still note, although the sales industry is still declining in most markets, slightly better in Asia, flattish in Asia, where we see the overall yellow industry segment still being challenged and linking a little bit of off-highway, construction equipment, those kind of products is still hurting us a little bit. But although we do see the light in the tunnel in that segment as well. Deliveries automotive industry increased in all regions. I mean we are benefiting from good growth in our focus segments in automotive, and it's basically happening all across the world for sealing solutions. And on top of that, also a very strong -- continued strong development in aerospace with good order intake and good deliveries. Overall, EBITDA is improving, but not in line with sales. And we continue -- as we guided for, we continue to invest in some market segments where we believe we can do better and we will create a better footprint for us for the long-term benefits. We continue to invest. We continue to build a better business long term in order to get to our long-term targets both in terms of growth and profit. And as part of that also, we also with satisfaction, finalize this acquisition of M&A group in Korea in the quarter, which is creating a new base for us, especially targeting the semiconductor manufacturing, which is an area we do believe in having good prospects for us going forward. Turning to Page 10. Some comments on sustainability. CO2 emissions continue to develop very nicely. We are, as you can see here, year-on-year, a substantial improvement. Turning to Page 11, then you can see also, let's say, one of the major drivers for this is actually that we are increasing substantially the, let's say, share of renewable and positively electricity as part of increasing consumption. So overall, a very good development in this area. Back to Page 12, agenda, financials and then handing over to Fredrik to guide us through on Page 13 and onwards.
Fredrik Nilsson: Thank you, Peter. Let's start with the sales development. Organic sales up 1% in the quarter. Looking at the business areas. As Peter mentioned, industrial solutions declined 1%, while medical solutions reported growth by 2% and sealing solutions up 5%. Reported net sales were on par with last year. Organic sales, as I said, up 1%, but structural changes reduced sales by 1% and currency was net unchanged. Moving on to Page 14, showing the historical sales growth. And as you can see, the second quarter was below on our sales target. That is 8%, but the positive here is that we are back to organic growth. Moving on, Page 15, showing the quarterly sales in a row in 12 months for continuing operations. As I said, sales SEK8.7 billion in the quarter and at a rolling 12 month basis at SEK33.8 billion. Moving on to Page 16 and looking at the EBITDA development and also the margin development. We have an EBITDA in the quarter of SEK1.599 billion, which was an increase by 2%. And as Peter also said, it's the best ever first single quarter. We saw profit growth for both our two largest business areas, industrial solutions and sealing solutions and a minor decrease for medical solutions. In the result, there was a minor translation difference of SEK18 million in the quarter. Looking at the margin, good improvement up from 18% up to 18.4%. And this is despite, as we initially have some acquisitions with lower margins. And we also continue to invest in the organization in some fast-growing market segments. Looking at Page 17. The rolling 12 months EBITDA actually amounts exactly to SEK6 billion with a margin of 17.7%. And as also you can see in the chart, the EBIT growth over the last 12 months has been 4%. Moving on to Page 18. Going into some more details in the income statement. We had items affecting comparability in the quarter of SEK111 million, which is entirely related to restructuring costs for adjusting our cost base. Looking into the financial net. You can see minus SEK63 million in the quarter versus SEK140 million last year. I would like to highlight here that last year, including the financial one-off income of SEK218 million, which was attributable to some interest rate swaps that we closed when we divested the entire operations. Tax rate for the quarter amounted to 24%, which is slightly below our underlying tax rate of 25%. Moving on to Page 19, earnings per share. If we look at earnings per share, excluding items affecting comparability, it's SEK4.49 in the quarter versus SEK4.71 in Q2 last year. But again, the impact we have here also from the closing of the interest rate swap, had an impact of SEK173 million after tax, which translated into earnings per share is SEK0.68 in the Q2 numbers for 2023. Adjusted for that, we have an EPS improvement of 11% year-over-year. And then if you're looking at the group, including the divested business, then you can see that we have SEK4.14 versus SEK21.67. And the reason here is, of course, we have a huge impact from the discontinued operations last year, also including the capital gains related to the divestments of the tire and the printing blanket business. Moving on to Page 20, cash flow. And as you can see here, we have a cash flow of SEK1.19 billion in the quarter, and we have a positive impact from EBITDA of SEK59 million in the quarter. And then you can see that we have somewhat higher working capital in the quarter, and that was related that we have seen some increased demand in certain segments, which has tied up a little bit more inventory to secure supply to our customers. And then also a little bit higher CapEx, which is in line with our previous guidance. That is that we have ongoing greenfield projects that's going on in 2024 for as well as it did in 2023. Moving on, looking at the cash conversion. It's actually unchanged compared to a year ago. We have a good cash conversion of 88%, and that is despite that we are seeing a higher CapEx level. Moving on to Page 22, looking at the gearing and leverage development. We are now actually back to a net debt position end of the quarter of SEK 1.981 billion. We have, during this quarter, I would like to highlight both back shares of SEK937 million, and we have also paid out a dividend of SEK1.617 billion. So the debt equity ratio was 5% and net GAAP in relation to EBITDA was 0.3%. So our balance sheet remains very strong. Looking at Page 23 return on capital employed 12.7% in the quarter. And our capital employed was impacted by acquisition with initial lower returns. Moving on to the guidelines for the full year. CapEx SEK1.6 billion unchanged, restructuring costs SEK300 million, a small increase of $50 million from the last quarter. So we are now guiding for SEK300 million. Amortization of intangible assets SEK500 million. This is excluding the Baron acquisition and we need to come back with more information, when we have them calculated. Underlying tax rate 25%. And by that, I would like to hand back the microphone to Peter. Thank you.
Peter Nilsson: Thank you, Fredrik. Agenda slide again, Page 25, and then quickly turning to summary and outlook. Page 26, already comment organic growth and improved margin. We believe this is a solid quarter. We are back in growth territory organically. And we also managed to improve the business in terms of margin, solid cash flow, I mean, lower than a year ago but nevertheless, very good level still on a rolling 12 basis. And we also are happy in the quarter that you managed to make two very nice bolt-on acquisitions brands, one in Korea, strengthening in semiconductor manufacturing, another one in Finland, with more or less a global presence focusing on, let's say, ceilings for rehabilitation of pipes. That's a good add-on for us. And then, of course, also very importantly, after the end of the quarter, we also completed a Baron acquisition, which is now being integrated here from as of yesterday. And we will get these figures into the quarter, which will then be noted, of course, when we report our quarter 3. So that's one. And then Page 27, outlook. We believe we have a solid order book where we see slight continued improvements, continued high levels in certain areas. We talk about the project business, we talk about aerospace, we talk also about the improvement in the medical. And we see, let's say, a slight improvement kicking in also in some industrial segments, although continued challenges in residential construction and some of the more kind of distribution-related sales, industrial sales is down. But overall, we feel confident that we're guiding for a slightly higher demand for us in Q3 compared to Q2. Of course, we still have this, let's say, comment also, we still are exposed to geopolitical situation, which is somewhat turbulent and we need to unfortunately add this also to our comment. I mean it's not an increased -- let's say increased risk. But nevertheless, it's still around, and we don't know really what's happening. So that is why we're adding that. Back to the agenda and quickly Q&A to Page 29 and opening up for Q&A. So please go ahead.
Operator: [Operator Instructions] The next question comes from Klas Bergelind from Citi.
Klas Bergelind: My first one is on the guidance, which is sequential and you're saying somewhat higher. So should we translate this into somewhat higher year-over-year as well, i.e., around 2% to 3%. That's what I get to at least want to try to adjust for seasonality. And could you help us, Peter, where you see the bigger improvement quarter-on-quarter? We talked a lot about the North American destock at the OEM level being a drag, I think, four quarters versus the normal two. Is that now leveling off for you? Or is it mainly China where you see improvements into the third? And you obviously have the lower level of destock as well in medical that should help. Some clarity there would be great.
Peter Nilsson: Yes, let me talk about the guide. We don't want to guide an individual, let's say, organic growth. We guide on, let's say, getting a little better, it means, of course, it's getting a little bit better in Q3 compared to Q2 on a year-on-year basis. I mean, that is the basic guidance. And then whether we are -- we don't want to give any more. We say it's going to be slightly better. Of course, it's not a dramatic change. We believe it to be slightly better. And that's coming from basically a fairly wide activity. We still continue to see, if I say in the aerospace is good, oil and gas, the LNG is good. We still feel automotive is holding up surprisingly well. We still see that order intake in that area is good. And we note also that the downturn in construction and some of these more consumption oriented industrial is not because they're going down any further. Will we see an end of destocking in the medical area. And we also note. I mean that is maybe where we have more uncertainty behind us, and that is kind of the end of this, what you say, inventory down in more kind of industrial components business, but that is where we see order intake is getting slightly better. But there, we have to be open to say that is where we, let's say, still see some uncertainty how the bounce will be there. But overall, when we put everything together, we feel confident on this kind of a little bit raised guidance.
Klas Bergelind: Then my second one is on TMS and the big improvement here in June. So is this sort of a complete entity destock? Or do you think that can continue a bit in the third quarter? And also on Baron's which is now finalized. Obviously, the margin here for TMS before Baron's, is not really following through as I thought despite the better organic growth. You're obviously still investing in growth. But you are confident that you can reach a 20% margin through the second half, including Barons. If you keep investing in growth into the second half, that would suggest to me that Baron have great margin, i.e., maybe even 25% just to sort of make the math work, if you could comment on that.
Peter Nilsson: Yes. I mean to start about the destocking is still, let's say, volatility is high here. We -- I mean, honestly, because what we said here, we're a little bit surprised by the uptick here in June when the call of a little bit bigger. And of course, we don't feel fully confident that that's going to continue, but we also have to note that the comp is getting easier here in the second year. And so we feel that in terms of year-on-year, we feel confident that's kind of destocking will be less than a year ago. And I mean, also look at the Baron, there is some synergies in this. There is some takeaways from the integration of this, we're going to create, let's say, benefits for us. I don't want to say -- we have said that, I mean, including Baron when that is integrated and is done, then we feel confident we're going to get around, let's say, 20 plus/minus can I say, guide 20.0, but it's going to be at close to 20, and that is also dependent exactly or integrated. And of course, we have been building the organization in the medical solutions in order to be able to integrate these barrels. So we are carrying a few extra costs in the quarter in order to be fully ready to take this on now as it being fully owned by us. So that's, of course, we're looking a bit long-term view. And I mean, I understand that you are targeting in with the quarters. But for us, it's more that we're going to in the next few quarters get up to a run rate of 20 and whether that will be exactly in Q3 or Q4, we are, let's say, we can give a firm guidance. We believe that -- I mean we firmly believe that these will be integrated and that, of course, get the Baron on board, the margin in Baron okay. And that is something which is beneficial for us, but it also needs to be integrated in a good way. Once again, which we have been appearing for some time and we feel confident that that's going to happen. And then, of course, gearing up this total business for continued good organic growth. I mean that is really what we are looking for, we are not targeting, let's say, margin in the next quarter. We are targeting a run rate here for the next, let's say, 6, 12 months.
Klas Bergelind: No, the reason why I asked is the synergies typically come a bit later versus at the time of the exact integration. So yes, but okay, you sound confident.
Peter Nilsson: There is some synergies. I mean, in terms of purchasing some operational assets and that is why we feel confident that this is going to deliver good benefits.
Operator: The next question comes from Douglas Lindahl from DNB Markets.
Douglas Lindahl: I wanted to come back to the medical business, the destocking there. I guess you now are under the impression that this has been finalized. Meaning the exit rate out of the quarter must have been much stronger than you had anticipated previously? And how should we sort of frame that in heading into next quarter and the second half of this year rather thinking about the growth for the medical business? That's my first question.
Peter Nilsson: Yes. I mean it's difficult to guide, to be honest, Douglas, because it's, let's say, individual call-offs, it's a limited number of customers in a way which is driving this. We feel that a majority of the customers is still -- is now moving into growth rate again, but there still are some customers which are still doing destocking. So it's kind of a turning point. And that is why -- I mean, honestly, it's difficult for us in Douglas to give you a firm guidance. We don't really know ourselves and we need really to follow with the call-offs of the customers. There was substantially higher call-offs in June. Overall order intake in the quarter was not kind of the best, but the run rate at the end of the quarter was very good. So I mean, I we have to do the best estimate here, and we need to do our judgment and we are -- our best estimate, it is going to get better than we saw in Q2. But I mean, we cannot say that we are fully confident on that one, but we need to look at the figures and do a judgment, our best judgment. And then be open and tell what we believe. I mean, at the moment, we do believe that it's going to get up from this 2%, but I cannot really see when they're going to get 4% or 6% or 8%, I don't know. But I mean, we see it's going to get better. I mean that is really what we see. So sorry, I [indiscernible].
Douglas Lindahl: I'm just trying to -- given it's a new business for all of us to some extent. I'm just trying to understand what the visibility really is here on your backlog. And so.
Peter Nilsson: We have a good backlog. As you say, the business is running. We have a good backlog. We get frame orders and then they call off Doug. And that is the call of is something that we cannot really control. So that is where it's happening. But once again, we -- our feeling is that is really easing now in terms of this inventory reductions.
Douglas Lindahl: And then switching gears a bit to your aerospace business. You touched upon it a few times, but I just wanted to get a better understanding on how you have been impacted so far by the Airbus and Boeing situation and how you expect that you might be impacted from this going forward?
Peter Nilsson: We still have a solid growth, let's say, we talk about 10% plus organic growth in this area. And I mean, it could have been even better if everybody was able to deliver a no Boeing problems or whatever. But I mean, it's really well performing all over and the order book is growing even more. So we get, let's say, increased orders and it's more the call-offs and the run rates. And you know that the Airbus order book is very strong. The Boeing order book is also very strong. And of course, Boeing has there challenges, well-known challenges. But beyond those challenges, they still have a very firm order book. So we don't see any sales growth for us is more in terms of what the customers actually can absorb. Because the order books that the customers is growing, our order book is growing. And I mean, it's still looking very good if we, let's say, if we look medium-term or long-term or short-term. So it's really a good demand everywhere. It's more a matter of what you're able to supply and what the customer is able to absorb.
Douglas Lindahl: And then a final question from my side. It looks like your performance from a sort of cyclical standpoint is quite strong, I would say. Would you -- can that you're gaining market share in certain products or segments?
Peter Nilsson: I think we've been working, as we talked about this investment in growth areas. And of course, that is also mix driven and that is something that we are getting payback on that one that we have been investing in certain areas. We are slowly changing the mix in Trelleborg. We are kind of more and more active in areas with good growth rates, and that is where we see the benefit on that one from that effort. So that is -- I mean, we don't -- and it's not really one individual action, it's a lot of actions and we're driving this with a feed out activity and we believe that we see the first signs of that benefits now and of course, continue to invest in these areas to improve. And then we have some specific segments where we have been doing very well. I mean we have some automotive businesses doing well. We have some niches in aerospace doing well. So overall, it's been yes. So we feel satisfied with the overall mix changes we have within Trelleborg at the moment.
Operator: The next question comes from Erik Golrang from SEB.
Erik Golrang: I have one question. It's in sealing solutions. So 5% organic growth in the quarter. Margins still coming down a bit because of the growth investments you talked about. What kind of growth do we need to see for these investments to be absorbed? That's my question.
Peter Nilsson: Yes. Hopefully, we are about to turn the corner. I mean we are getting into a growth area, as you say, also the growth in the quarter is a bit mixed. I mean we still have some, if I may say, volume segment still being depressed. I mean we talk about this, as you know, flowy power, pneumatics, hydraulics, which is a lot of manufacturing volume, which is still a little bit depressed and we are kind of driving, I should say, improved mix in ceiling, although we don't really see it in the margin yet because we have been -- we have decided not really to flex down fully on the lower volumes in some of these core segments because we believe they're going to be bouncing back. So we feel confident and as we see this, if you say big volume segments is getting back, which we see the first signs of now, then hopefully, we will get a double up in a way that we both have a mix change and good volumes in the quality volume segment. So that is more of a I should say, manufacturing mix issue, still exposed to some kind of under absorption in un-manufacturing facilities, which we on purpose kept that way in order to be ready to capture the growth going forward. But we are about to turn the corner on that one. And then also, we are also starting to see now the kind of MRP benefits in terms of sales also slowly kicking in, although, I mean, we have been guiding, we don't expect that to happen until next year. So we're still carrying a little bit extra load in terms of manufacturing capacity and manufacturing resources in order to be ready for this growth as we believe are coming. I mean we are not working for individual quarters here. We're working in order to create a long-term better sealing solutions and we still feel confident that we're going to get there rapidly when we see, let's say, volumes getting back.
Operator: The next question comes from Agnieszka Vilela from Nordea.
Agnieszka Vilela: My first question, I think, is probably to Fredrik. When we sum the other operating income and expenses, they were quite negative in the quarter of close to minus SEK90 million. Can you say if there is anything specific driving that cost?
Fredrik Nilsson: No. There is nothing unnormal. It's -- we are reporting FX effects plus and minus, about as an income and cost. So it's just the normal items that you have in that line in the quarter.
Agnieszka Vilela: And then on the gross margin in the quarter, it was at 37%, up by almost 3 percentage points year-on-year. Can you, Fredrik and -- can you maybe explain what's driving the profitability improvement in the quarter despite limited organic growth?
Fredrik Nilsson: No, but it's a combination. As you said, the organic growth is helping. There is also a good mix. We are growing in some right segments with good profitability. So I would say there is nothing specific. I mean, I would like to highlight in general, I mean, it's just that the operational improvement over a long time, that is starting to paying off.
Agnieszka Vilela: And on automotive industry, you still see quite good growth but looking at the car production, it seems to be slowing down a bit. So can you explain what's driving the growth specifically for you in that segment?
Peter Nilsson: I mean, to be honest, we are surprised. We didn't expect this volume to continue. What we see is continuing here going into the next quarter. There's a few drivers. I mean, we have a good aftermarket for this breaking business that we have within sealing solutions, where we have a few new entrants in terms of this -- how should I say this different sensors and different kind of automate, let's say, devices in cars. So we have a few a few areas there, we're driving it. And we're also doing good market share gains in industrial solutions in this activity. Now remember, when we bought a small in our boots business that we had here where we made let's say, small but very interesting acquisition for us in India. We've created a new kind of global footprint for us. We are gaining market share in that area. We're being the only one able to offer fully global support. So there's a few special small niches will be doing very well. But overall, we are, as you well noted the kind of misalignment between the overall, let's say, car growth and our sales growth. So we do not fully -- we don't expect it to continue. But we know that at least it looks good, at least for the next quarter, we are for a few quarters, honestly, we have been surprised by the call-offs in this segment for us.
Agnieszka Vilela: And then just last one from me. I just wonder if you will be helping us with numbers for Baron later on, maybe providing historical quarterly development for them. So we get the kind of seasonality right. Will you be disclosing that at all or not?
Peter Nilsson: Not individual for Baron now. Because this is being integrated and being synergy. So you're going to get only the full integrated profitability for medical solutions.
Operator: The next question comes from Timothy Lee from Barclays.
Timothy Lee: First question is just a little bit of a follow-up on the medical solutions business. Can you describe further the exact reason why the performance in the later part of the quarter was certainly improving quite a bit? Or is that the destocking activity just for some of the customers certainly happened in that later part of the quarter. Is there a particular reason to drive that outperformance? Any color would be helpful.
Peter Nilsson: No. We have a few customers that actually ordered more. I mean we are -- I mean our overall strategy for medical solutions is the target on the bigger customers, which means that it's fairly sizable accounts, some of them. And of course, if they start to order a little bit more, it's, let's say, we noted in the sales. So we cannot really highlight any specific Timothy. I mean it's really that we had a bunch of customers who started to order more than we expect and which we read into and also did the information from them. They're now running out of stock and they needed to fill up again. It's not happening with all customers. We still have some customers who is kind of telling that is still a little bit high in stock, but we do see that some of the customers who's now running out of stock and started to buy again. I mean that is really the comments. So it's really difficult to highlight certain areas or certain -- of course, we know the customers. We know which customer is buying, but we don't really want to highlight them in a call like this. But we noted a few -- it's not one customer, a few customers who start to buy again on levels which were buying a year ago. And I mean, of course, we know that have been destocking. Of course, we're looking at their sales level compared to inventory and stuff like that. And we know that certain of the big medical companies that they are probably approaching the end of their inventory reduction cycle. But while once again, there is still a few customers, we still overstocked. But we have to look at the big mix of customers. And if we touch on the big mix of customers, we do this overall evaluation that they are, let's say, easing in the stock focus from them and they're starting to buy more in line with their actual consumption. And that is what we have been benefiting from here during -- especially during June, which we see then also continuing into next quarter for this or a running quarter for these customers.
Timothy Lee: And my second question is about margin development in third quarter or in the second half of the year. So for industrial solutions, I think in the quarterly report, you also mentioned there could be some positive sales mix to drive the margin improvement. Is that something one-off or something structure -- structurally improve your mix in the segment to drive the margin?
Peter Nilsson: For industrial solutions, I think rather the opposite here going into the quarter because, I mean, if you remember, I guided a fewer -- we don't guide to individual margins for the first, but we would like to remind you, especially for data solutions that a year ago, this is when we had this extraordinary order for the Panama Canal, which we have been discussing, which was highly beneficial for the margin in industrial solutions, and that's not happening this year. So I don't think you should extrapolate that the margin in -- I mean it's going to be a challenging quarter for industrial solutions to meet the margin target for a year ago since they do not have this -- I mean don't read into there's going to be a major deterioration. But nevertheless, it's going to be a challenge for them to meet their individual margins for Q3. But of course, we're doing our best and we are working for it, but it's going to be a tough comp for industrial solutions in Q3. Due to this less extraordinary order that we had a year ago, which we commented on at that time.
Timothy Lee: And then for sealing solutions, I think as you mentioned earlier, you were also waiting for some of these volume segments to improve the drive to the segment margin. And you also mentioned that the synergy from the MRP acquisition will be mainly in 2025 in your quarterly report. So does it mean that the segment margin is likely to be more or less flattish in the rest of the year before we see some big improvement in 2025?
Peter Nilsson: I mean we always have, let's say, we are working here. I mean we are not -- we have been telling that we'll be aiming for a higher margin within sealing solutions, and we say that we're going to get to this target margin here at the end of '25. So of course, we do expect, let's say, some slight improvement there going forward. We don't want to guide for individual quarters. But of course, we are in order to get to the long-term targets here, we need to see benefits both from synergies and let's say, once again, the extra volumes that we do expect here. But I mean it's really difficult to -- we don't want to give, let's say, a firm guidance on individual quarters or individual six months. But of course, we are not working for individual quarters. We are working for kind of more long-term, yes, improvements and that is where we're going in that direction.
Operator: The next question comes from Hampus Engellau from Handelsbanken.
Hampus Engellau: Two questions from me. Just if Peter, maybe could you quantify how when you summarize second quarter, how big the Easter impact was per business, just to get a sense if there's any deviations between the business areas?
Peter Nilsson: I think for the Easter effect, it's mainly -- I mean, if you take, let's say, working days and stuff like that, that's mainly an impact for sealing solutions. It's not that really impacting industrial solutions, which is more kind of product-related sales which is not impact. So we say 1%, 2%, let's say, movement of organic growth from Q1 to Q2. I mean, that is what we talk about. And then exactly, we kind of do a mathematical calculation. I mean that is really the yes, so maybe the growth in this quarter, 1 or 2 percentage points too high and it was 1% or 2% was too low in Q1, for sealing solutions. But for the rest of the group, we don't see that really being impacted by the Easter like we are in sealing solutions.
Hampus Engellau: And then maybe for you, Fredrik, on the one-off charges guidance for the full year, I pursue that there's nothing from Barons, including in that and it's maybe a bit too early. And should we be looking at that for maybe first half of next year? How should we think about that?
Fredrik Nilsson: That's right, Hampus. All the guidance is excluding Baron.
Peter Nilsson: But with that said, we do not expect any major cost on Baron because that is really a bolt-on for us and we're more using existing capacity and getting benefits from joint purchasing and some in-sourcing of some tooling and stuff like that. So that is nothing -- the synergy extraction from Baron, we shouldn't expect that to cost any money.
Fredrik Nilsson: No. The only where we will see a change in the guidance will be when we have done the pay calculation because then, of course, amortization will go up.
Hampus Engellau: And then just also for really clarifying here. When you talk about consolidating Baron, will that be fully consolidated as of third quarter? Or would it be two months of third quarter?
Fredrik Nilsson: It will be 2.5 months. It will be consolidated from yesterday -- as of yesterday.
Peter Nilsson: So we have a mid-month closing there, which is we're getting -- so we actually own it fully from as of yesterday.
Fredrik Nilsson: Yes. And also maybe to just clarify that payment of the Baron has been also made yesterday. So it's not included in the net debt by end of Q2, just to make that clear as well.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Peter Nilsson: Thank you and thanks to all of you for showing interest in Trelleborg and showing interest in how we perform. Of course, I'm available, Fredrik is available and also Christopher is very much available for any kind of follow-up questions, happy to support you in any way we can to enhance your understanding of Trelleborg as we continue to develop Trelleborg and continue to drive it towards an even better company in terms of growth margin returns and growth. And looking forward speaking to you again, hopefully soon and if not, soon, then we will, for sure, touch base here in the next few months. So do take care and all the best to all of you.